Operator: Welcome to the Cimpress Q1 FY 2025 Earnings Call. I will introduce Meredith Burns, Vice President of Investor Relations and Sustainability.
Meredith Burns: Thank you, Mirchell, and thank you, everyone, for joining us and, happy Halloween to those you celebrate. With us today are Robert Keane, Founder, Chairman and Chief Executive Officer; and Sean Quinn, EVP and Chief Financial Officer. We appreciate the time that you've dedicated to understand our results, commentary and outlook. This live Q&A session will last about 45 minutes and we'll answer both pre-submitted and live questions. You can submit questions via the questions-and-answers box at the bottom left of your webcast screen. Before we start, I'll note that, in this session, we will make statements about the future. Our actual results may differ materially from these statements due to risk factors that are outlined in detail in our SEC filings and the documents we published yesterday on our website. We also have published non-GAAP reconciliations for our financial results on our IR website as well. We invite you to read them. And now I will turn things over to Robert.
Robert Keane: Great. Thanks a lot, Meredith, and thank you for joining us. Sean in a moment is going to speak about our first quarter financial results. But first, let me share some personal insights on how across Cimpress, our talented and our engaged team members are driving significant customer value and efficiency through focused execution. And this call in particular is a great time to do so, because I personally have just spent the month of October visiting over 20 different Cimpress locations across North America and Europe. And the observations I want to share with you today are coming really straight from the front lines. First of all, we are continually improving our customer experience. For example, in the past week, I sat side-by-side with team members from product development, with frontline designers, with service team members, who all showed me improvements they're driving to things like file revision and design creation and file upload processes. As an even more specific example, in one sit down session, I was with one of our designers in our team in Tunisia and he was designing beautiful product labels for a high-value customer in our Upload & Print group, who was extending her line of aroma therapy products, and these are capabilities we simply didn't have a few years ago. Second, we are driving efficiency, improving quality, increasing speed of delivery across the value chain, and as part of that month of travel, I was at about a dozen of our production facilities, and no matter what size of facility or what product focus, team members consistently demonstrated a combination of continuous improvement and capital investment, which together are reducing costs and improving quality. Third, we are growing lifetime customer value, lifetime value of our customers, as well as our revenues through more complex products and supporting those complex products with customer experience improvements. For example, I visited our team in Europe, who is responsible for flexible packaging and our U.S. team who's leading our drive into corrugated packaging. Both of these are small currently, but they're potentially large product categories in which we're currently growing at well over 25% a year. The average lifetime value of these customers is many times of typical or our average customer. And almost all of these packaging customers are small and medium-sized businesses who form the core of Cimpress' total addressable market. Fourth, I really saw firsthand how Vista has continued building momentum, based on the foundations we've been investing in for five years or more, and that includes a modern flexible technology and data infrastructure, the strengthening of Vista's product development capabilities and repositioning of Vista Print away from the previous discount-driven brand image, and the results are really an improved customer experience that attracts and retains high-value customers. During my travels, team members who are part of the Vista teams who are driving growth in packaging and logo apparel and large format walked me through production floor operations, where I could personally touch and feel these gorgeous quality products of countless real-life customers in these important growth categories. Last but not least, across all my visits, I saw how our select few shared strategic capabilities are really deeply integrated into the ways of working. They're helping us drive customer value and competitive advantage. As one of two examples I'll describe, I was, at a equipment supplier with a capital equipment specialist from our global procurement team and multiple leaders from two different reporting segments, and we were at a half day deep dive at the engineering facility of an innovative equipment supplier, with whom we are working to develop yet even more innovation applications for a new product category we're working on. Likewise, in all my visits to our facilities, I saw how businesses our leveraging MCP's functionality for artwork, for e-commerce, for fulfillment operations, for cross film across Cimpress fulfillment and for data. So, three months ago, Cimpress completed our record-best fiscal year in terms of revenue and profitability. Looking forward, the type of focused execution that I'm describing today, which I personally saw over the last month, and our clear and consistent strategy makes us confident that in fiscal '25, we're going to again set new records for both revenue and profits. More importantly, the type of frontline talent and the initiatives that I've had the pleasure of seeing, reassure me that, for many years to come, we can relentlessly improve the value we deliver to our customers and strengthen our print mass customization capabilities. In doing so, we expect to continue to earn market share gains in this very-large, fragmented landscape, where traditional competitors still account for the majority of the market. With that, Sean, let me turn it over to you to talk about our first quarter financial results.
Sean Quinn: Yes. Thanks a lot, Robert, and thanks for that summary. To start and as we noted in the earnings document that we released after the market yesterday, Cimpress delivered solid results for the quarter. Consolidated revenue grew 6% on both a reported basis and an organic constant-currency basis. Adjusted EBITDA declined slightly year-over-year in Q1 to $88 million inclusive of currency headwinds of just under $1 million. The obvious question that we would expect from investors is, with the context of our multi-year commentary that we've provided, why don't we see the revenue growth that I just mentioned translate into increased profitability, specifically increased adjusted EBITDA in Q1 versus last year. There's no change to our multiyear guidance commentary, and we remain confident in our ability to deliver against the growth in revenue, adjusted EBITDA and free cash flow that we've outlined. Let me just walk through the Q1 results with that question in mind. First, if you look at the results at a consolidated level, our gross margins and our advertising as a percentage of revenue were flat year-over-year. The growth in the contribution profit dollars that we had in Q1 was consumed by increases in operating expenses. In Q1, it's typically our lowest volume revenue quarter, and so OpEx increases like annual merit increases that we have, including those for our central teams, are less absorbed by revenue in our first quarter than they are during other quarters. From a segment perspective, segment EBITDA increased in Upload & Print. It increased in National Pen and also in our all other businesses segment with higher gross margins across the board and also, in some cases, lower advertising as a percentage of revenue. In Vista, organic constant currency revenue growth was strong. It was 8%. From a category perspective, what we saw in Q1 was very consistent with what we shared at our September Investor Day in terms of where we're seeing strength and also where we see headwinds. Vista had a strong quarter in Europe across the board. In North America, revenue growth was solid there, but this is where we have a slight decline in revenue from Business Cards that has a bit more impact on product mix and therefore also a bit more impact on gross margin. We have also planned in Q1 to have heavier advertising spend, not only actually in Q1, but also in the -- for the full first half of the year. And you see that this quarter, and that's not any material shift of note in terms of our advertising approach, but it does impact the year-over-year results for Q1. So, if you take a step back for Vista, the organic constant-currency revenue growth of 8% that we reported translated to 6% gross profit growth, but advertising spend grew about 12% year-over-year and that's really the main impact of the flow through in Q1. We also had a $1.8 million benefit in last year's Vista results and that didn't repeat this year. Panning back out to our consolidated results. From a free cash flow perspective, free cash flow was lower year-over-year. The biggest driver of this was higher outflows from changes in working capital. You'll recall that, last year, the working capital impacts of supply chain disruption were still normalizing. And so, last year, we had favorable inventory trends from a working capital perspective. The other significant driver of the free cash flow decrease year-over-year was cash interest payments that increased $10.6 million versus the year ago period, and that was due to our senior notes refinancing, which brought forward the timing of our typical semiannual interest payments on our prior senior notes that were due in 2026 that have now been redeemed. From a balance sheet perspective, as just mentioned, during the quarter, we successfully completed a high yield notes offering for new eight-year notes that replaced our prior 2026 notes and we concurrently extended the maturity and amended the interest rate of our existing revolving credit facility. These steps combined with the substantial reduction in net leverage since the peak in December of 2022 have significantly strengthened our balance sheet and also our debt maturity profile. Very importantly, we've been able to make these balance sheet improvements and maintain strong liquidity, while also allocating capital to significant organic investments that we've outlined in more detail in our annual letter that was published back in July. And over the last three quarters, we've also allocated $168 million to the repurchase of about 8% of our shares at what we believe to be very attractive multiples of earnings, cash flow and steady state free cash flow. We also allocated another $9 million to repurchases in the month of October, and we plan to continue to do so if prices remain attractive. But all of that will still be subject to the leverage commentary that we previously outlined, which as a reminder would be to end this fiscal year with net leverage at or below approximately 2.75 times our trailing 12-month EBITDA as defined by our credit agreement, if we're repurchasing shares. Finally, we're of course now in our second quarter of the fiscal year and that includes the holiday peak season. We had a pre-submitted question around our expectations for the upcoming season. We feel very good about our preparations and plans as that starts to ramp up. Also trends in Vista's consumer product category have been good with growth in each of the last five quarters. Also, Q1 that we've just reported here was strong. That's really been benefiting from the focus of our consumer team from new product introductions, but also the overall experience improvements that we've talked about over the last few years. That said, compared to last year, we do have five fewer selling days between American Thanksgiving and Christmas, and we also have the U.S. Election. So, we plan accordingly for those to the extent that we can, but those could dampen overall demand and year-over-year growth. With that, I'll turn it back to you Meredith for Q&A.
A - Meredith Burns: Wonderful. Thank you, Sean. As a reminder, you can submit questions during this webcast via the questions and answers box at the bottom left of the screen. Now we received a number of pre-submitted questions and we also look forward to taking your live questions as well. So, let's jump in with our first question that was pre-submitted. Robert, this question is going to be for you. What makes you confident enough to make such high levels of growth investments and share repurchases?
Robert Keane: Thanks for the question. Let me take those two subjects in turn starting with growth investments, then I'll come to share repurchases. So, we're confident in continuing at a similar level of growth investment, as we had in fiscal '23 and fiscal '24, because of the strong performance we've demonstrated in terms of customer value improvements, competitive advantage enhancements and financial results. Our strong opportunity for the years ahead of us would not exist in the absence of those consistent investments in technology, talent, new product introductions, design enablement, next generation manufacturing excellence and advertising that collectively underpin our customer value improvements and our competitive advantage enhancements. For fiscal '24, we reported that, those growth investments from a cash flow perspective were about $146 million at the midpoint estimate. As you know in your question, we expected to continue with a growth investment level similar to that in this fiscal '25. Now as to my comment about strong financial results, let me be a little more explicit about what I mean. In my letter to shareholders from July, I spoke about our multi-year and multi-decade growth in terms of revenue and profitability. But focusing on where that trend has brought us to, in the last fiscal year, we generated about $10 in adjusted free cash flow per diluted share. Now even after you adjust that for asset sales and some unusually favorable working capital, the cash flow per share was still about $8 and all of these cash flow numbers are after the roughly $146 million in growth investments. So that free cash flow per share leads to the second subject of your question, which is share repurchases. Share repurchases make even more sense when, or especially makes sense when our share price is trading today where it is relative to that free cash flow per share after growth investments. Now, for the reasons we talk about very regularly, for example, in our Investor Day presentations, we think those $146 million of growth investments are really creating shareholder value and we'll see that in future years. But even if someone disagrees and considers that some of that growth investment is necessary just to keep our business steady. The cash flow per share we're seeing is robust to say the least relative to our share price. And that is in summary, why we invested an additional $168 million for share repurchases in the trailing 12 months through September. The final reason we're confident in deploying so much capital is because we're doing so within a clearly-communicated leverage policy and a demonstrated track record of being able to delever, when we want to or need to. As the most recent example of that track record, the growth investments and the share repurchase I just described have totaled over $300 million in the past 12 months alone. Yet, over that same period, we've reduced our leverage from 3.5 times to 3.1 times EBITDA.
Meredith Burns: Thank you, Robert. I'm going to ask another question that, we've received last night that is along similar lines. So, here goes. We suspect that you agree that the returns associated with repurchasing our shares today are materially more attractive than they were a few weeks ago. Will this impact what sorts of investment activities we prioritize given the 2.75 times leverage constraint that's been communicated? For example, are there higher uncertainty CapEx investments that we may postpone to take advantage of the irrational price being offered by Mr. Market?
Robert Keane: Okay. The short answer is yes, because right now I think Cimpress is a case study or a poster child of Benjamin Graham's description of Mr. Market when he gets especially moody and irrational. The cash flow math that I just shared a few moments ago what is a good illustration of that value-to-price mismatch. We plan to take advantage of that opportunity and if the share price stays attractive, I would not be surprised if we invest north of $100 million in share repurchases this fiscal year, while still ending up at around 2.75 times leverage or below at the end of this fiscal year. Now the tradeoff you mentioned is something we do talk about, and when there's opportunities big or small, we're looking not only at CapEx, which you mentioned, but also OpEx and advertising and payment terms. That being said, so, we are looking at them, but I would also caution you, I'd say that, a lot of our success has come from operational execution and what we call a focus on focus. That requires consistency and planning across what is a pretty large organization and there can be very high cost to flipping back and forth in our organic investment levels and operating plans, based on monthly fluctuations in our share price. We have high conviction in the CapEx and the software development, the talent, our recruitment and the advertisement that we've planned and those projects are not very far out on the risk curve. Now we do recognize within that, there are still trade-offs we can make and we expect to make, but my comments are just to say, it's not a switch we can turn on and off. Now I'm not sure if in your question, you were also asking about the 2.75 times leverage objective for the end of fiscal '25, but let me address that in case you are. Like with operational management, I think the consistency in where we're going from a balance sheet perspective has significant bad benefits that I think we should be aware of and protect other than in extreme circumstances. We are maintaining our leverage expectation for this year as communicated, even though one could make a pretty good argument that given Cimpress' proven ability to delever, why we want to now is not the time to deploy capital to reduce leverage given Mr. Market's current state of mind. But, we think that consistency like operational consistency is very helpful. Now rest assured this question of share repurchases is a regular topic, especially recently we've had with the Board of Directors given the share price relative to our cash flow per share before and after our growth investments and we'll continue to take it very seriously.
Meredith Burns: Thanks very much, Robert. All right. We're going to shift gears and this next question will be for Sean. Sean, please help me understand the $18 million quarter-over-quarter swing in other income/expense? What are the main components of that line, and how do they flow through to adjusted free cash flow?
Sean Quinn: Sure. Yes, we'll drop right into the details here. There are some more details around our currency impacts in our earnings document. There's a section on currency impacts that I would point you to. But, yes, there's sometimes some larger movements in this line in the P&L. The year-over-year change, as was mentioned in the question in our other income and expense, was just under $18 million. That line is mostly driven by realized and unrealized currency gains and losses. Let me just explain the activity that goes through there and then I'll just put some numbers against that for first quarter so it's clear. From a currency perspective, we have an active currency hedging program and we average into a combination of forwards and options each quarter, based on our currency exposures, all based on currency exposures from an adjusted EBITDA perspective. You might ask, why do you do that? The reason we do that is that in the past, we've had EBITDA-based maintenance covenants, and so the program is designed to reduce volatility in our adjusted EBITDA. If there's ever a large move in currencies, we would have time to adjust. And then we also factor that into how much cushion we would need against those maintenance covenants. Now, of course, today, we don't have any EBITDA-based maintenance covenants. However, on our revolver, if in the future we were to have a drawn balance, we might. And so, we keep that program running as it was, and that program importantly has met its objective of reducing currency volatility. The realized currency gains or losses from those hedges are included in our adjusted EBITDA that we report every quarter. Unrealized gains and losses are not in that adjusted EBITDA and that also flows through this other income line and tends to be the source of the majority of what is in that line. In Q1, the realized gains that we had from our currency hedges went from a gain last year of $2 million to losses this year of $2 million. And so that's a total change of $4 million, of that, about $18,000,000 that went through that line. That's the realized piece. That realized piece is included in our adjusted EBITDA. It also then flows through to our cash flow as well. We also -- it's important to note when we have losses like we did in Q1, realized losses on our currency hedges. There's also positive impacts above that line, whether it be in our revenue or in our cost base, and so, there's some offset there, and that's what gets you to the a little bit under $1 million of negative impact to our EBITDA overall versus last year from currency. That's probably the most important takeaway for Q1. As I said, that flows through to our adjusted free cash flow. That remaining $14 million year-over-year change is mostly the changes in our unrealized currency gains and losses that doesn't impact our free cash flow in this quarter. Those will continue to move around over time, as they get mark-to-market and they'll be realized over the next 12 months to 24 months. But if there are losses there, again, that also means that, there will be positive impacts from currency above that line over that period. I think if you take a step way back on all this stuff, the most important takeaway is, we said last -- we said in our commentary last quarter that for the full year fiscal '25 based on our contracted rates going into the year that, we expected the year-over-year impact of currency on our adjusted EBITDA to be approximately neutral, and we still expect that to be the case. So, there's some ins and outs there and markets will create some volatility in that line. But from an overall adjusted EBITDA perspective, we expect the impact of currency to be approximately neutral for the year.
Meredith Burns: Great. Thank you, Sean. All right. Sean, I'm going to stick with you. We got a trio of questions from investors on working capital. And so, I will ask you all of these questions at once and you can combine for a single answer. We were surprised at how much of a use of cash our payables consumed last quarter. What drove this large use of cash? Second question related to the above. We know that there has been some noise in our working capital over the past few years. Would you mind reminding us which quarters you expect receivables, inventory and payables will continue to be sources or wish quarters they will be used as cash, for example, inventory continuing to be a source in Q2, et cetera? And the last question, at Investor Day, you predicted working capital to be a source of cash for the full year, though less so than it was in FY '24. Have the Q1 results altered your view? And if yes, what has changed?
Sean Quinn: Okay. Let me try and hit all those at once. I know that the topic of working capital can be difficult to understand. There is quarter-to-quarter volatility there. I think first thing to say is that, there's no structural changes in our working capital. That said, if you look at any one quarter, it can be challenging because there's typically some timing differences, sometimes some discrete items that drive fluctuations in working capital. And that could be in either direction. But absent any specific events like the supply chain disruption that impacted inventory trends over the last few years, we would expect to have working capital inflows in Q2, which is typically the largest, and also in Q4. So, the December quarter and the June quarter, working capital inflows. That follows the seasonality of our revenue, so the quarters where we have our highest volume revenue. Just to make that specific, if you look at like the December quarter, for example, we have our holiday peak in revenue. We've received cash from customers in most instances in the December quarter. And then, we have payments for materials, for shipping, for advertising, remittances of all the sales tax or VAT that we collect and so on. And so, that's what drives that sort of mismatch from a working capital perspective. On the outflow side, we would then typically have outflows from working capital in Q1 and Q3, and Q1 is typically a smaller outflow, Q3 is the larger one. We did guide, there was -- as part of the question asked about the full year for FY 2025, we did guide to have working capital inflows for the full year in FY '25, although less than FY '24. FY '24 was a particularly strong year with some specific drivers. That remains our expectation that we will have working capital inflows for the full year, although less than FY '24. For Q1 specifically, let me get to some of those questions. Again, as always, there's a lot of timing in here. Q4 of last year was quite strong and sometimes what that means is, you'll sort of the other side of that the following quarter. So, there's a little bit of that in here. Again, that's all timing stuff. In Q1, we did have a little bit more inventory ramp up for the holiday preparation, part of that just due to some of the challenges in shipping through the Red Sea and so on. That's relatively minor, but when you compare it against last year, last year, we were still unwinding some of that safety stock that we had ramped up. So, year-over-year, that creates a bit of an unfavorable swing. And then, there were also a few other things. There was a question about the impact of payables on working capital. There are a few one-off things related to specific suppliers, and I'll just give you a few examples to make it tangible. Last year, we had a technology contract that was reasonably material where we improved terms, and so we had that favorability last year that doesn't repeat this year. This year we had -- in the other direction, we had another technology contract where we had unusually favorable terms, which were born in a zero-interest rate world that shifted to more typical commercial terms in Q1. Again, that one was kind of unique. But even just those two things alone are well over $5 million of year-over-year impact just as examples to make it tangible. Again, no structural changes in working capital. Quarter-to-quarter, you have these specific things that play a role. One other thing that I'd point out, because I think the question -- whomever asked the question, I think was probably looking at it from the cash flow statement. I usually look at accounts payable and accrued expenses together in terms of those trends. There is cash interest payments I mentioned in the earlier remarks that were $10.6 million higher in Q1 versus last year and that was because we brought forward the payments on our -- interest payments on our bonds as part of the redemption. So, if you're looking at it from a cash flow perspective, that also flows through those lines. That's just a timing thing, but has some impact as well in Q1.
Meredith Burns: Great. Thank you, Sean. All right. So, I'm going to move to Robert with a question about CapEx. Robert, in Q4 FY '24, you said you planned to increase CapEx in 2025, but the cash outflow for PP&E was lower this quarter. Have your plans changed, or will those investments still happen just later in the year? I think the investments will still happen just later in the year with a caveat around the discussion we had a few minutes ago about we are looking at all this stuff in terms of other capital allocation opportunities and share buybacks. But given all my comments, which are very important about the consistency of operational execution, we are planning on those will still happen. Similar to working capital, this can fluctuate quarter-to-quarter. It's also common for us to be testing capital equipment to ensure, it hits our operating requirements and key performance indicators, before we make full payment that can delay the cash out. Based on those initial installation tests and our payment terms, it's not uncommon that, much of the CapEx from a cash flow perspective appears in quarters after the equipment was actually received.
Meredith Burns: Thank you, Robert. I'll stick with you for the next question, that is on our BuildASign business. Actually, two questions. We would have assumed that sales for BuildASign would have increased materially this quarter as a result of the election cycle. However, sales in North America for all other businesses, which we perhaps incorrectly assume our BuildASign, increased only marginally relative to last year, are election cycle is not that big of a sales driver for this business? And, out of curiosity, why was there a spike in intersegment revenue for all other business segment in Q1 FY '25 relative to Q1 FY '24?
Robert Keane: Okay. For the first question, our external revenue trends in first quarter for BuildASign were very consistent with the recent past. Specifically, we see growth in signage that's being partially offset by decline in direct sales of any customer sales of home decor products. You're correct that the election cycle did have some impact, a positive impact on signage revenue, but I would characterize that as a helpful increment to our revenue not as a major material impact. For the second question, the rapid growth in inter segment revenue comes from a very successful collaboration for cross end press fulfillment between Vista and BuildASign. Just as a reminder, across Cimpress fulfillment is when one Cimpress business produces for another Cimpress business. And we remain in the early stage of a multi-year effort to increase cross Cimpress fulfillment, because it allows us to accelerate new product introduction and to drive down production costs, thanks to the aggregation of volumes into focused production lines. Now, BuildASign specifically has very competitive production capabilities in signage and in-home decor products. So, over the course of fiscal '25, we are shifting most of Vista's North American production volume for those two categories from Vista to BuildASign. And this has cost savings that are nearly immediate, but importantly, it frees up production space in Vista's North American production facilities for new lines, which we're installing for other product categories, largely focused, almost exclusively focused around the growth categories we talked about. Those new investments will likewise be made available through cross and fulfillment to all of Cimpress' businesses in North America. And so, as a point of reference, the inter segment sales are not included in the regional split for revenue that we provide in our financial and operating metrics spreadsheet. For example, in this case, BuildASign, which constitutes the majority of our all other business, intersegment revenue is fulfilling products and shipping them to Vista customers in North America.
Meredith Burns: Thank you, Robert. Stick with you for this question that came in live. At the Investor Day, you discussed a modest multi-year revenue decline in the combined business cards and consumer products categories. You mentioned consumer products growing for the last five quarters and have previously discussed business cards growing at low single-digits rate due to customers finding different use cases for business cards. Do you think the modest decline in these combined product categories can be reversed, or should we think of this as a modest ongoing revenue headwind?
Robert Keane: So, most of this question applies to Vista, so let me focus on what we see happening there. But I will note that, the story is similar for the minority of this, which applies to other parts of Cimpress. Yes, we do think we can stop the modest decline, and we are planning for roughly flat revenues between across these two mature traditional product categories. At our September Investor Day, Florian showed a slide that unlike the strong growth we see in categories like signage, marketing materials, promotional products, apparel, packaging, which account for the majority of this growth. We've seen that flat growth in the business cards and consumer and as a percentage of revenues, it declined substantially. These newer categories that are growing are the majority of our gross profit now, and they are also the most important categories for high-value customers who are driving our growth. They also have very attractive lifetime value, which makes our contribution profit after advertising favorable compared to the more mature categories like business cards and consumer. And also, as we've discussed, that mix shift does mean the gross margin percentage is pressured, because business cards and consumer products have a higher gross margin percentage, but, Vista is continuing to really excel well at protecting the profitability of these mature product categories through improved customer experiences, improved and expanded product ranges, premium substrates, sophisticated finishing options, price optimization, reducing discounts, and advertising efficiency.
Meredith Burns: Thank you. Sean, did you want to add anything to that?
Sean Quinn: Yes. If I could, yes. I think one of the things that might be a little confusing for some is that, in Investor Day, we were comparing business cards and consumer and lumping them together because of for some of the reasons Robert just described. These are larger legacy categories differentiated from some of the more complex products that have high growth and we're very focused on now. But we were comparing those back to 2018. Now from 2018 till now, there happened to be a large pandemic in the middle of that. There was also transformation in the Vista business that included substantial reduction in advertising. There's a lot of noise when you look at it from FY 2018 to, let's say, FY 2024. There's some noise in that that's other than, sort of outside of the trends you might expect now. And so just to bring that forward, and I mentioned this in the earlier remarks, from a consumer perspective, that's been growing over the last five quarters, and we have an expectation that can continue to grow. There's a lot of benefits from the new product introduction that's happening broadly across brands that has consumer relevance to the experience improvements, design improvements and so on. And so, we believe that, that can continue to grow. In Business Cards, I also mentioned in the earlier remarks that, we saw a slight decline there. And so, I just differentiate Business Cards to consumer in that way in terms of the more recent trends. Hopefully, that's helpful and kind of a bridge back to also what we talked about at Investor Day.
Meredith Burns: Thanks, Sean. We have run out of questions. So, I'm going to turn things back to Robert to wrap up.
Robert Keane: Okay. Well, thank you, Meredith. In summary, we continue to execute in line with all the plans we've laid out for you in the September 10th, Investor Day. Hopefully, some of the examples and the details we've shared with you today are helpful. I speak with team members across Cimpress on a very regular basis and I'm very inspired by their talent. I'm motivated how they are seizing opportunities, they're addressing challenges and I want to thank them for their support and execution of our strategy. There are more than 15,000 Cimpress team members and they really are successfully driving customer experience improvements, efficiency gains, new product introductions, great, high-quality marketing and a lot more. So, these are keys to extending our 30-year trends of growth in revenues and profitability and market share. So, I'll wrap up by saying thank you to them and thank you to you, our investors for joining the call and continuing to entrust your capital with us.